Operator: Good afternoon, and welcome to the Republic Services Fourth Quarter and Full Year 2025 Investor Conference Call. Republic Services is traded on the New York Stock Exchange under the symbol RSG. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Aaron Evans, Vice President of Investor Relations. Please go ahead.
Aaron Evans: Good afternoon. I would like to welcome everyone to Republic Services Fourth Quarter and Full Year 2025 Conference Call. Jon Vander Ark, our CEO; and Brian DelGhiaccio, our CFO, are on the call today to discuss our performance. I'd like to remind everyone that some information discussed on today's call contains forward-looking statements, including forward-looking financial information, which involve risks and uncertainties and may be materially different from actual results. Our SEC filings discuss factors that could cause actual results to differ materially from expectations. The material that we discuss today is time sensitive. If in the future, you listen to a rebroadcast or recording of this conference call, you should be sensitive to the date of the original call, which is February 17, 2026. Please note that this call is property of Republic Services, Inc. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Republic Services is strictly prohibited. Our SEC filings, earnings press release, which includes GAAP reconciliation tables and a discussion of business activities, along with a recording of this call, are available on our website at republicservices.com. In addition, Republic's management team routinely participates in investor conferences. When events are scheduled, the dates, times and presentations are posted on our investor website. With that, I'd like to turn the call over to Jon.
Jon Vander Ark: Thanks, Aaron. Good afternoon, everyone, and thank you for joining us. The Republic team delivered another strong year of performance, reflecting the resilience of our business model and the power of our differentiating capabilities. We maintained high levels of customer loyalty by consistently delivering premium products and services while effectively managing costs across the business, all while navigating a dynamic macroeconomic backdrop. Our solid earnings growth and meaningful margin expansion reflect our strategy in action and the dedication of our team to create long-term value for our customers and shareholders. During 2025, we achieved revenue growth of 3.5%, generated adjusted EBITDA growth of nearly 7%, expanded adjusted EBITDA margin by 90 basis points, delivered adjusted earnings per share of $7.02, produced $2.43 billion of adjusted free cash flow and increased adjusted free cash flow conversion by 200 basis points to 45.8%. We remain well positioned to secure new growth opportunities by delivering our differentiated capabilities, customer zeal, digital and sustainability. With respect to customer zeal, our customer retention rate remained strong at 94%. Our Net Promoter Score continued to improve throughout 2025. This reflects our team's commitment to delivering exceptional customer value. Fourth quarter organic revenue growth was driven by solid pricing across the business. Average yield on total revenue was 3.7% and average yield on related revenue was 4.5%. Organic volume declined during the quarter, reducing total revenue by 1% and related revenue by 1.2%. Volume declines were concentrated to construction and manufacturing end markets as well as a continued shedding of underperforming residential business. Organic revenue in the Environmental Solutions business decreased total revenue by 2% in the fourth quarter. More than half of this decrease in the Environmental Solutions business related to an emergency response job in 2024 that did not repeat. Turning to digital. We continue to make investments in new technologies and AI-enabled tools that strengthen our competitive position and create measurable value. These capabilities extend across our organization and are expected to unlock incremental growth, enhance profitability and drive sustained operating leverage. For example, we are deploying advanced analytics to optimize pricing based on specific attributes and local market dynamics. Over time, we expect this will strengthen price retention and reduce customer churn. We are upgrading our RISE digital platform, beginning with our large container business. By applying AI and algorithmic-based routing, we see meaningful opportunities to improve safety, enhance service delivery and increase route-level productivity, benefits that translate directly into cost efficiency and a better customer experience. Additionally, our digital tools are helping us optimize nearly all 11 million customer calls we receive each year. In fact, in 2025 alone, we delivered more than 70 million proactive service notifications, addressing our most common customer inquiries such as holiday service schedules and weather-related delays. Within sustainability, we made great progress during the year in the development of our polymer center network and Blue Polymers joint venture facilities. In July, we commenced commercial production at our Indianapolis polymer center. This facility is co-located with a Blue Polymers production facility. Commercial production began in the Indianapolis Blue Polymers facility during the fourth quarter. We continue to advance renewable natural gas projects with our partners. Three projects came online during the fourth quarter. In total, we commenced operations at 9 RNG projects in 2025. We expect 4 more RNG projects to be in operations in 2026. We continue to execute against our industry-leading commitment to fleet electrification. We had more than 180 electric collection vehicles in operations, supported by 32 commercial-scale EV charging facilities at the end of 2025. We expect to add another 150 EV collection trucks to our fleet this year to support the continued growth of this differentiated service offering. As part of our commitment to sustainability, we strive to be the employer where the best people want to work. In 2025, our employee engagement score, which consistently exceeds national benchmarks, improved to 87 and our turnover rate was our best performance on record. Regarding capital allocation, in 2025, we invested $1.1 billion in value-creating acquisitions and returned $1.6 billion to shareholders, including $854 million of share repurchases. Our results clearly demonstrate our ability to create sustainable long-term value even while managing through a dynamic market environment. We expect to deliver another year of profitable growth in 2026. More specifically, we expect full range revenue in a range of $17.05 billion to $17.15 billion. Adjusted EBITDA is expected to be in the range of $5.475 billion to $5.525 billion. We expect to deliver adjusted earnings per share in a range of $7.20 to $7.28. And we expect to generate adjusted free cash flow in a range of $2.52 billion to $2.56 billion. Our acquisition pipeline remains strong and supportive of continued activity in both recycling and waste and environmental solutions. We expect to invest approximately $1 billion in value-creating acquisitions in 2026. We are already off to a strong start this year with over $400 million of investment and acquisitions to date. Our guidance includes the financial contributions from these acquisitions. At the midpoint, our outlook for 2026 represents revenue growth of 3.1%, adjusted EBITDA growth of 3.6%, adjusted earnings per share growth of 3.1% and adjusted free cash flow growth of 4.4%. As we have highlighted previously, our 2025 results benefited from landfill volumes related to wildfire and hurricane cleanup efforts. Absent difficult prior year comparisons created by these nonrecurring projects, the midpoint of our 2026 guidance would indicate nearly a 4% top line growth, more than 5% growth in adjusted EBITDA, 50 basis points of EBITDA margin expansion, approximately 6% growth in adjusted earnings per share and 7% growth in adjusted free cash flow. This level of performance aligns with our long-term growth algorithm even as we continue to operate in an uncertain macroeconomic backdrop. I will now turn the call over to Brian, who will provide additional details on the quarter and the year.
Brian Delghiaccio: Thanks, Jon. Core price on total revenue was 5.8% in the fourth quarter. Core price on related revenue was 7.1%, which included open market pricing of 8.7% and restricted pricing of 4.6%. The components of core price on related revenue included small container of 8.8%, large container of 7.4% and residential of 6.7%. Average yield on total revenue was 3.7% and average yield on related revenue was 4.5%. In 2026, we expect average yield on related revenue in a range of 4% to 4.5%, which equates to average yield on total revenue in a range of 3.2% to 3.7%. Fourth quarter volume decreased total revenue by 1% and decreased related revenue by 1.2%. Volume results on related revenue included a decrease in large container of 3.8%, primarily related to continued softness in construction-related activity and manufacturing end markets and a decrease in residential of 3% due to shedding underperforming contracts. In 2026, we expect organic volume will decrease total revenue by approximately 1%. Keep in mind that landfill volumes from wildfire and hurricane cleanup efforts in 2025 creates a 60 basis point headwind to organic volume growth in 2026. Moving on to recycling. Commodity prices were $112 per ton during the fourth quarter. This compared to $153 per ton in the prior year. Recycling processing and commodity sales were flat compared to the prior year. Increased volumes at our polymer centers and reopening a recycling center on the West Coast offset the revenue impact of lower recycled commodity prices. Full year 2025 commodity prices were $135 per ton. This compared to $164 per ton in the prior year. Current commodity prices are approximately $115 per ton, which is the baseline used in our 2026 guidance. Fourth quarter total company adjusted EBITDA margin expanded 30 basis points to 31.3%. Margin performance during the quarter included margin expansion in the underlying business of 80 basis points, which was partially offset by a 10 basis point decrease from net fuel, a 20 basis point decrease from recycled commodity prices and a 20 basis point decrease from acquisitions. Our full year total company adjusted EBITDA margin was 32%, which represents margin expansion of 90 basis points compared to the prior year. This improvement was driven by margin expansion in the underlying business. The 30 basis point increase to margin from wildfire and hurricane landfill volumes was completely offset by the impact of net fuel, recycled commodity prices and acquisitions. With respect to Environmental Solutions. Fourth quarter revenue decreased $60 million compared to the prior year. Approximately $50 million of this decrease related to an emergency response project in 2024 that did not repeat. Adjusted EBITDA margin in the Environmental Solutions business was 20.1% in the fourth quarter. This level of performance was relatively consistent with our third quarter results. Total company depreciation, amortization and accretion was 11.6% of revenue in 2025 and is expected to be approximately 11.6% of revenue in 2026. Full year 2025 adjusted free cash flow was $2.43 billion, an increase of more than 11% compared to the prior year. This was driven by EBITDA growth in the business and cash tax benefits resulting from recently enacted federal tax law. Total debt at the end of the year was $13.7 billion and total liquidity was $2 billion. Our leverage ratio at the end of the year was approximately 2.6x. Based on current interest rates, we expect net interest expense in a range of $575 million to $585 million in 2026. With respect to taxes, our combined tax rate and impact from equity investments in renewable energy resulted in an equivalent tax impact of 16.2% during the fourth quarter and 21.9% for the full year. The favorable tax rate in the fourth quarter was driven by the timing of tax credits related to equity investments in renewable energy. We expect an equivalent tax impact of approximately 24% in 2026, made up of an adjusted effective tax rate of 19% and approximately $190 million of noncash charges from equity investments in renewable energy. With that, operator, I would like to open the call to questions.
Operator: [Operator Instructions] The first question is from Tyler Brown with Raymond James.
Patrick Brown: Jon, I appreciate the comments on the M&A pipeline, but I'm just curious if you can talk a little bit about what you purchased with the $400 million year-to-date? And then what types of assets are in the other $600 million? And then, Brian, I assume the $400 million in acquisitions is in the guide, but the $600 million is not. I'm assuming that's the way it will be. And then just can you provide what the acquisition contribution will be in '26 implied in the guide? Sorry, I know that was a lot.
Jon Vander Ark: Yes, no problem. Yes, we typically don't comment on individual deals, but it was published. So we bought a company called Hamm on the west side of Kansas City. Great disposal infrastructure, great opportunity for us to use that as a basis for further growth. So that was the anchor tenant of the $400 million. And of the $600 million in additional that we hit directionally, we don't know -- again, we know some of the things that are likely in there. We don't know exactly what's in there because we haven't closed any of that stuff. So we'll update you on future quarters, but feel really good about that mix. It's predominantly recycling and waste, but we've got a number of attractive ES opportunities that we're looking at as well. And I'll let Del talk about the mechanics of the contribution.
Brian Delghiaccio: Yes. Tyler, you're correct. So we've included the contribution from that, which is already closed, which includes the $400 million. And then were other deals besides just Hamm that we closed. With respect to the contribution, so rollover together with those deals, it's adding 70 basis points to 2026 growth.
Patrick Brown: Okay. Perfect. And then, Brian, if we can talk a little bit about margins because I think the margin guide is, call it, 32.2% based on the midpoint, which I think is 20 basis points up. But there's quite a bit going on. So can we talk about at the core level because we have commodities, we've got the landfill comps, we've got M&A? And then I don't want to get really near-term focus, but can you help us shape Q1 and Q2? Because I surmise, again, there's a lot going on. The majority of the landfill comp will be earlier in the year. So will margins actually move backwards in the first half. But again, sorry, I know there's a lot there.
Brian Delghiaccio: Yes. Let me just start with the components because you're right, there are quite a few moving pieces. So 20 basis points at the midpoint there, call it, 60 to 70 basis points of that expansion in the underlying business. With what we've guided to from $115 per ton, commodity prices would be a 10 basis point drag on margin. Acquisitions, another 10 basis points of drag. And then to your point on those higher-margin landfill volumes, that's a 30 basis point drag on margin. So add all that up, that's the 20 basis points at the midpoint, but quite strong when you look at the underlying business in that 60 to 70 basis point ZIP code. When you think about the timing, so what I would just say -- and more of this is having to do with what happened in the prior year. So think slightly positive in Q1, Q2 and Q3 flat to slightly negative just because we're comping those landfill volumes during those 2 quarters and then most of the margin expansion happening in the fourth quarter.
Operator: The next question is from Jerry Revich with Wells Fargo.
Jerry Revich: I'm wondering if we could just talk about the polymer center performance. So nice to hear about the projects being on budget. Can you, Jon, just please provide us an update on how you're thinking about future polymer projects? What's the demand curve look like and overall performance as you folks ramp?
Jon Vander Ark: Yes. We're happy with the progress on Las Vegas. Again, we talked about that having some learning curve in terms of the start-up, and that's moving up the curve very nicely. Indianapolis learned from a lot of that benefit and then Allentown. Steel is up in the air in our third polymer center. There certainly could be a fourth polymer center over time. As you know, right now, plastics is a pretty challenged broadly. What has been nice is the spread between the bale we're taking on the front end and the PET we're selling on the back end has been really stable in part because we're producing a very premium product that's meeting our customers' needs on that front. So we're going to see how that market evolves. I don't think we'll announce any fourth polymer center in the very near term. I think that is more likely than not over time, just testing again how the market evolves. There's some macro factors, obviously, with China on both virgin and recycled PET that are putting downward pressure on pricing that I'm hoping those trends are arrested here in the next 12 to 18 months, and I think we'll see some upward pressure on plastics.
Brian Delghiaccio: And Jerry, to your question just on performance. When you think about next year, we're expecting about a $30 million revenue uplift from the polymer centers and with that about $10 million of incremental EBITDA.
Jerry Revich: Super. And can I ask separately on the RNG side, nice to hear about the projects coming online. Can you just provide an update on performance from a royalty standpoint and operating efficiency? We're hearing in the industry projects are generally having a harder time getting to the targeted profitability numbers. I'm wondering how your projects are tracking in that regard, both from a royalty standpoint as well as equity income, if you don't mind sharing?
Brian Delghiaccio: Yes. There was certainly a delay, which kind of pushed everything a little bit to the right. But now as you heard in our prepared remarks, 9 projects coming online in 2025. We expect another 4 in 2026. So now that we're seeing those projects coming online, we're seeing the financial contribution that we would expect from those projects. So next year, again, just the way the timing works when you think about incremental revenue and EBITDA about $10 million each of both incremental revenue and EBITDA from those projects, with that accelerating then as we move '27 and beyond towards the end of the decade.
Jerry Revich: It's good to hear that the profitability is as planned as you're ramping. Okay.
Operator: The next question is from Noah Kaye with Oppenheimer & Company.
Noah Kaye: I want to ask about the organic growth outlook broadly, both the volume component and the yield component. I know apples-to-apples is always a little bit tricky in this space, but it does look like a relatively conservative initial outlook just comparing to some of the peers. Is there anything that you would call out either on sort of the yield side or what you're seeing in the environment on volumes leading you to take a relatively more conservative tack?
Jon Vander Ark: Yes. I'd say from a macro economy standpoint, I think the macro economy I'd characterize as stable. Now moving pieces underneath that, manufacturing and construction have been weaker, which is leading to -- we're into 3 years, approaching 4 years of negative demand in recycling and waste. So that's been a challenging volume environment. I think in the context of that, the pricing environment has been broadly fairly positive. Now there are spots where you see people around national accounts or some landfill maybe getting a little aggressive on volume. But on balance, I think the industry has performed well over an extended period of really challenging demand. And in terms of our own outlook, we're going to be pretty conservative until we see some momentum. Now there are some positive signs around special waste and certainly in January, the west side of the country will outperform the east side. Some of that is weather. So we're cautiously optimistic in terms of the early signs. But in terms of a guide, we're going to wait till we get through the normal seasonality that we see into Q2 before we would take a more optimistic approach to the guidance.
Noah Kaye: Yes. I guess the follow-up to that, and that makes sense, it's just 40 bps underlying volume decline, right, at the midpoint when you back out the landfill volumes. Maybe just help us understand how much of that is kind of further controlled shedding in resi versus anything else? And just if you're seeing, in general, your commercial service increases outpacing decreases.
Brian Delghiaccio: Yes. I mean to your point, we do expect residential to be negative in each of the quarters and for the full year in 2026, okay? So that is certainly a headwind when you think about that 40 bps that you talked about, excluding the landfill volumes, whereas we do expect some better performance with respect to volume in the other lines of business. And so again, when you just take the average of those that's where you get to that negative 40 basis points for the year. Now remember, there is some timing things that you have to take into consideration. So because of rollover as well as the in-year impact, we would expect to start the year negative, right? So we're guiding to that negative 1% for the year. We would expect to be negative in Q1, a little bit more than that 1%. Same thing for the second and third quarter just because you're comping those landfill volumes in Q2 and 3 and then to be somewhat flattish by the time that we exit the year.
Noah Kaye: That's great color. And that plays finely into my last question around ES. Just we obviously had the tough comp here from the ER revenues in 4Q. I know we've got a little bit left, right, $15 million or so in 1Q, so that makes a tough comp. But just help us understand what have you assumed for that business in terms of total growth in '26? And how would you see that shaping?
Brian Delghiaccio: Yes. So for the year, we're relatively flat as far as growth. And to your point, some of that starting negative in the first half of the year because of some of those tougher comps and then growth in the second half of the year. And on balance, call it, relatively flat on a full year basis.
Jon Vander Ark: And Noah, broadly across both businesses, we're going to pursue volume for sure and pricing. But when forced to choose, we are going to take price, right? We need to get a return on the work that we do, and we're going to continue to put upward pressure on pricing in both of those businesses over time. And so that's -- some of the implication of that would again be in national accounts, be in residential, be in landfill. We're going to take that disciplined approach and again, broadly happy with how we performed in the context of a pretty tough macro environment over the last couple of years.
Operator: The next question is from Bryan Burgmeier with Citi.
Bryan Burgmeier: I think you said you're looking for about 60 to 70 basis points of underlying margin expansion this year. Just wondering if maybe just from a high level, you could touch on your sort of inflation expectations across some of the major buckets, labor, maintenance, repair, that would be pretty helpful.
Brian Delghiaccio: Yes. Overall, we're expecting an inflationary environment around 3.5%. So again, when you think about that yield on related revenue of 4% to 4.5%, you're getting that 50 to 100 basis points of price in excess of cost inflation. And by bucket, I would sit there and say they're relatively close to the average. Some might be a little bit above, some a little bit but below, but on average, call it, in that 3.5% range.
Bryan Burgmeier: Okay. Got it. Got it, and that's really helpful. And then maybe just following up on Noah's question, hopefully not too redundant is just getting you a sense of ES kind of progressing from 4Q into the first half. I think you talked about kind of rebuilding the pipeline and maybe some sequential improvement from like August to October. Obviously, the macro is not our friend right now, but just kind of trying to gauge that sequential recovery maybe into '26.
Jon Vander Ark: Yes, I feel really good about the team's actions and discipline. Keep in mind, a lot of this can be a longer sales cycle business, whether it's recurring revenues or event-based work because of the compliance nature of the business. So jobs that we are working on now or winning now may not show up until Q3, Q4 or even into Q1 of next year, which plays into what Del talked about the first half having a pretty conservative posture and seeing more momentum in the second half of the business. And keep in mind, like emergency response has always been part of the business. It was a historically low emergency response year last year, right? We've seen little yet, but those things can emerge, and those are always nice tailwinds to the business. Again, they typically happen in not huge chunks, but in chunks. But last year across the industry, it was just a very low year. So we get a little momentum there, and we could certainly run past the guide.
Operator: The next question is from Kevin Chiang with CIBC.
Kevin Chiang: Maybe if I could just follow on ES there. Look, you still held the margins pretty well, low 20% despite some of the revenue pressures you mentioned. Just as we think of that revenue recovering, just how do you think about incremental margins? Do they come back maybe a little bit better than you expected? It seems like you're holding costs pretty nicely here in some of this tougher macro.
Jon Vander Ark: Yes. I'd say they'll be strong. So we're holding costs, and we're holding -- we've done a good job of cost control, but we're also holding people. Again, we have to have -- be ready to serve our customers. And so our labor utilization is lower than we would expect over the last couple of quarters. And we've done some fine-tuning in places, but have certainly not optimized for the short term because we know there'll be momentum and growth coming back in the business. And so I think you will see very attractive margins on the increment as we continue to grow in the second half of next year or this year, really.
Kevin Chiang: That's helpful. And then just you spoke of some of the opportunities you're seeing on the technology side, on the RISE platform using AI. Total cost of operations below 58% for '25. Just wondering, as you think about the -- I guess, over the longer term and you're utilizing this technology, so maybe where you think that can go from a cost efficiency perspective?
Jon Vander Ark: Yes. We'll do a little more work here and give you specific numbers, but these are going to -- over time, this is going to be cost improvements measured in 9 figures for sure. I mean there is a lot of efficiency that we can drive through and 1 minute across our system a year of routing efficiency on our routing side is worth $4 million to $5 million. So you can see how that can accrue as you get optimized traffic patterns and optimize disposal optimization on our routes, and there's a lot of variables today. We do a very good job with the set of tools we have today. AI is a game changer of taking a lot of complexity and designing routes in a more efficient fashion. You'll see some of this on the back office side, and we've talked about call centers in the prepared remarks and just being able to service customers digitally in the way they want, getting them an answer and saving the cost of having people answering the phone. And then pricing is going to be a third big lever for us, which is getting very surgical in how we price. Again, we do a great job today with our current set of tools. But as we're now deploying AI, we're getting far more scientific and really understanding customer lifetime value as we price these customers to get a great price today, but also a price that incents them to stay with us for a long period of time.
Operator: The next question is from Adam Bubes with Goldman Sachs.
Adam Bubes: Just wondering if you could parse out the high-level organic growth performance in Environmental Solutions across the different business lines because there's a lot going on under the hood and understand the $50 million impact from lapping the nonrecurring emergency response project, but hoping to get some color on how the landfill business is performing there, Industrial Services. You also have E&P. So just trying to get the moving pieces right.
Brian Delghiaccio: Yes, Adam. So all 3 of those things you mentioned were down on a year-over-year basis. What I would tell you is the concentration to the landfill and the E&P volumes being down is where you're seeing that fall through at a very high decremental margin. So that's what's having the largest impact on margin performance. So -- but all 3 of those businesses being down on a year-over-year basis, but as Jon mentioned, we're well positioned that as those units return into the system, we'll capture those units, and we'll capture that at a similar margin that they're falling out that you're seeing in our performance right now.
Adam Bubes: And then one more on landfill gas. I think you mentioned $10 million incremental EBITDA in 2026. But can you just mark-to-market us on where we are on your realization of the $100 million run rate EBITDA for landfill gas? Is that still the right number to think about? And how you think about timing and the base that we're at today?
Brian Delghiaccio: Yes. By the time we get done with 2026, we'd be at about $40 million of that $120 million that we expect an incremental EBITDA contribution. If you recall, right, the EBITDA exceeds the revenue contribution because of our equity pickup in those projects where we have a joint venture. So full run rate revenue, $100 million, $120 million of EBITDA.
Operator: The next question is from Trevor Romeo with William Blair.
Trevor Romeo: I just had a couple of quick ones, I think, on the ES business. One is just your PFAS remediation business, love if you could maybe talk about what kind of revenue you're expecting for that business maybe this year and the forward outlook based on what you're hearing from both the regulatory side and the customer demand side, just over the long-term opportunity there?
Jon Vander Ark: Yes. I'd say this year, we'll probably be in the $50 million to $75 million range, really good ongoing recurring projects with customers where we're going site to site to remediate some of their PFAS. And then in terms of regulatory environment, again, we're believers that this is going to be a big growth opportunity over time. I think it's going to develop more slowly than it would have under a different administration. And we're working through the regulations, and we're on both sides of this, obviously. It's a big opportunity for us on the Environmental Solutions side and a growth opportunity for us on the landfill side in recycling and waste. Also could be a headwind depending on the regulatory framework on the recycling and waste side, and we feel, I'd say, incrementally positive there in terms of a set of regulations that make sense and that we're not going to be penalized as a passive receiver.
Trevor Romeo: Okay. And then maybe just sticking with another sort of long-term potential opportunity for the ES business, I guess, reshoring as well as maybe infrastructure funding and things like that as a medium-term, long-term tailwind. What are customers saying about that? How meaningful do you think any of those benefits could be at this point?
Jon Vander Ark: Yes. I think that will be very real. You think about the cheap energy supply we have here and you think about the policy of reshoring manufacturing, I think what we've seen in the very short term is as tariffs have gotten in place and uncertainty around trade policy, there's been a paralysis in terms of investments. People are waiting for the rules to shake out in terms of making bigger capital decisions about where to locate production and their broader supply chains. We're very optimistic that the rules will get settled here over a period of time and that there will be a tailwind from a demand standpoint. Whether that happens here in the next 3 months or that takes a little bit longer, I think that's TBD. But we remain very optimistic about that as a demand driver for ES and then our -- also the manufacturing portion of our recycling and waste business as well.
Operator: The next question is from Toni Kaplan with Morgan Stanley.
Yehuda Silverman: This is Yehuda Silverman on for Tony. Just had a quick question about the landfill focus within the M&A strategy. So like recent acquisitions in Kansas and then late in 2025 in Montana, like the industry has been sort of trending towards like a net landfill closure compared to openings or more pressed landfill airspace over -- expected over the next couple of decades. Can you talk to us a little bit about how the environment has been to get landfill expansions improved or opening of new landfills? And has that shifted the M&A strategy towards perhaps acquiring maybe more landfill assets?
Jon Vander Ark: We've always been interested in acquiring post-collection infrastructure, recycling centers, landfills, transfer stations, and they're hard to come by. But when we see those opportunities, we'll certainly compete for those. And then in terms of landfill expansion, I think it's 2 very different stories. Citing a brand-new landfill extremely challenging and difficult, not impossible, but very challenging. Expanding current landfills is very geography-dependent. But on balance, we feel very comfortable around our capacity on air space that we have across our network of 200-plus landfills. And part of that will be over the coming decades, you're going to see more waste moved by rail. We've got 30-plus years of experience moving waste by rail, and that will be a bigger part of the equation, but we feel really good about our capacity to operate in that environment.
Yehuda Silverman: Got it. And then just a quick follow-up on price/cost spread. Just wanted to hear some of the levers that have been made on the cost side to make it a bit more manageable as pricing continues to moderately step down?
Jon Vander Ark: One is just the macro inflation. I think what people sometimes lose the story, the rate of our price increasing is coming down from the peak of inflation in 2022. But our cost is also coming down, right? The wage increase, the price we pay for parts, the price we pay to expand landfills, improve recycling centers, all of those expenses are also coming down. So we are maintaining the spread between that price and cost, and that is the predominant driver. Now there's other things we do around productivity like RISE, we've talked about and the efficiencies with AI and other things we do to drive our underlying cost structure and afford us the opportunity to invest in new things like the polymer centers electrification. So we've compressed certain parts of our cost structure, right? And we've expanded other ones, which we view as investment in future growth opportunities.
Operator: The next question is from Seth Weber with BNP Paribas.
Seth Weber: Just a quick one on the ES space. Can you just talk about how the Shamrock integration is going? I mean, do you need to pick up in industrial activity to really get that thing -- to get that moving? Or can you just talk to how the early progress has gone with that, the integration?
Jon Vander Ark: Yes. The iteration progress is going well. We're really happy about that business. A reminder, we bought that because we were already in the business. We were taking industrial water and liquids from our customers, and Shamrock was one of our suppliers. We were also using them for some leachate as well. So we were familiar with that. We had a lot of that material in our back. So we like to be vertically integrated, really had a lot of respect for Shamrock and what they built. And we'll see future growth opportunities in that space, right? They're predominantly a Southeast-based company, so we'll look for other opportunities because we see the same value creation opportunity in other regions.
Seth Weber: Got it. And then just the first quarter volume outlook, does that -- are you haircutting that for weather? Like, have you seen a big impact related to the winter storms. I think you referenced the East Coast was relatively rough. Is that kind of baked into your guidance at this plant?
Brian Delghiaccio: It is baked into the guidance. And yes, we have seen a pretty significant impact from that. So just in the month of January alone, we're estimating about a $25 million impact from weather and the first week of February experienced weather as well. So that could be a $30 million, $35 million number in the first quarter, but that is embedded in the guide itself. But to your point, from a timing perspective, then Q1 volume will look less because of that, that will be incorporated into our Q1 performance.
Operator: The next question is from David Manthey with Baird.
David Manthey: First question on the emergency response. I think in addition to the lack of jobs that are out there, I think you said last year that you thought maybe there was a gap between the jobs you thought you should win and those that you were winning. Could you just talk about that situation? And have you addressed the main sources of the growth gap as you see it?
Jon Vander Ark: Yes. I don't think that was limited, just a response. I think that was true for all event-based work and even recurring work. I think we're just getting the price volume equation right. We have put a lot of upward pressure on price and deservedly so because we want to get paid for the value we deliver. At the same time, the market had moved in terms of the volume situation and people were getting more aggressive on price. So the team had to adjust. I think the team has done a great job of that. We feel really good about the pipeline. As I mentioned earlier, there's a longer sales cycle business. And so we'll see the fruits of that labor surface more in the second half of next year -- of this year and then certainly into next year.
David Manthey: Okay. And then from a cost standpoint, I guess the maintenance and repair expenses have been trending well based on refreshing the fleet. But I was also wondering on transportation and subcontractor costs. They basically flatlined over the past 3 years. I was just wondering if you could outline what's been the cause of that?
Brian Delghiaccio: Yes. I think some of that's just a -- when you think about renegotiating some of those contracts, I think our procurement department has done a really good job of renegotiating those at favorable rates. Some of that -- there was a reset a couple of years back coming off the pandemic where you did see a pretty big increase, and now we've modulated into more normal year-over-year increases.
Operator: The next question is from Stephanie Moore with Jefferies.
Stephanie Benjamin Moore: Great. I wanted to go back on maybe what you're seeing from an underlying environment. I mean I think we all saw some of the industrial data points, notably ISM manufacturing PMI kind of inflecting to expansionary for the first time in January for some time. I think the hope is maybe that's a leading indicator for a bit of a recovery here. So curious if you saw or more so maybe had some conversations with any of your customers that would suggest that we're maybe warming up a little bit on that side of the business. So any insight there would be helpful.
Jon Vander Ark: I think there's certainly positive signs. I mentioned the west half of the U.S., you're starting to see certainly pick up in economic activity. That be said, there's other signs where people are still waiting, and they're still on the sideline waiting for stability of policy around capital investment. We're seeing still -- we're winning in terms of share on the manufacturing side, but that output in terms of units per facility is still pretty flat. So we're waiting some upside there. Same thing with construction. Now construction given the seasonality of it, we're not going to get a great read for that for another 3 to 4 months. Based on the macro picture of the United States needing more housing, you'd certainly feel good about that and some movement on interest rates, all of that would be a positive sign. Whether that unlocks growth yet. We've been waiting a while and cautiously optimistic we could see some momentum there as well.
Stephanie Benjamin Moore: Got it. Yes. No, that's super clear. And then I apologize if you said this, but did you give what your underlying kind of inflation expectations were for 2026?
Brian Delghiaccio: Yes, it's approximately 3.5%.
Operator: The next question is from Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum: I want to talk a little bit about what's going on in the C&D with the yield spiking up like 6.5%, it's the largest we've seen in a couple of years now. And what are you seeing in the service intervals, small container versus large container quarter-over-quarter? And then kind of contrasting that with the volume being down so much, was that the comp last year on some of the emergency stuff? Maybe you can talk about that, please.
Brian Delghiaccio: Yes. The -- let's start with the volume on the C&D. Some of that's just comping, some onetime event jobs that we had in the prior year. I would say when you take a look at that 6.5% and mind you, this is off of a really small base. So small numbers can actually look a little bit larger than they are, but it's probably a little bit more mix related than anything else. If you look at the trend of what we've seen on C&D yield in that circa 4% range, I think that's probably a pretty good indication of where we've been and where we would expect to be here over the next several quarters.
Shlomo Rosenbaum: Okay. And service intervals?
Brian Delghiaccio: Yes, service intervals, if you take a look at that, they've continued to outpace service decreases on that front. There's a little bit of seasonality that we typically see coming into the fourth quarter, but the trend for the full year as we've seen more service level increases than decreases.
Shlomo Rosenbaum: Okay. And then just following, what was -- can you talk a little bit about the contribution also from the polymer centers in '25? And what you -- is assumed in the outlook? You talked a little bit about RNG, but if it was polymer centers, I must have missed that.
Brian Delghiaccio: Yes. Polymer center in '25 added about $45 million worth of revenue and about $10 million of incremental EBITDA.
Shlomo Rosenbaum: Okay. And expectation for '26?
Brian Delghiaccio: Would be $30 million of incremental revenue and $10 million of incremental EBITDA.
Operator: The next question is from Tobey Sommer with Truist Securities.
Tobey Sommer: Curious what you're seeing in terms of the health care vertical, hospitals and kind of health care activity seems to be running relatively hot. And just curious to the extent you've got visibility in that industry that you could share with us, that would be helpful.
Jon Vander Ark: Yes. We compete there on the margin. We don't have a dedicated medical waste business, a small one in Las Vegas. And outside of that, we're out in that space. We certainly service hospitals and other health care providers with recycling and waste and that's been a nice growth driver as we've seen the broader health care spend go up over time, but not a meaningful growth driver for us.
Tobey Sommer: Okay. If we look at the spread in the margin expansion that you're able achieve and kind of put the pricing and revenue volume to one side and really focus on the expense side. To what extent do you think you've got opportunities to invest more in tech, extract some savings and efficiencies through AI and other means to like restrain your level of expense growth even further and contribute to a greater spread expansion?
Jon Vander Ark: Yes. I mentioned earlier, right, we're spending a lot of money on technology because we see the return clearly. Some of that is AI. Some of that is just modernizing our existing systems and updating that. And I mentioned we think there's 9 figures of opportunity over time on productivity and how we route. We see real opportunities on pricing but that's on the cost side, but that will be another growth driver. And then every element of our support, including how we answer calls, how we process orders and invoices, everywhere around the chain, we're challenging how work gets done and AI is going to be a very powerful tool that is going to show up in terms of compressing our inflation over time.
Operator: At this time, there appear to be no further questions. Mr. Vander Ark, I'll turn the call back over to you for closing remarks.
Jon Vander Ark: Thank you, Gary. I want to thank the Republic Services team for their great work in 2025. Their focus on safety, sustainability and exceeding customer expectations led to another year of great results and positions us well for continued success. Have a good evening and be safe.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for attending. You may now disconnect.